Operator: Welcome to The Parent Company's first quarter fiscal 2008 earnings conference call.  (Operator Instructions) At this time I'd like to turn the conference over to Barry Hollingsworth, Chief Financial Officer.
Barry Hollingsworth: Welcome to The Parent Company's first quarter earnings call for our fiscal year 2008.  With me today is Mike Wagner, President and Chief Executive Officer.  Before we get started I'd like to note that certain matters on this call are forward-looking statements that are subject to risks and uncertainties.  These statements involve known and unknown risks, uncertainties and other factors that may cause actual results to differ materially from those expressed or implied.  Although we may believe that expectations are reasonable, we cannot guarantee future results, levels of activity, performance or achievements.  Please refer to the risk factors noted in our 10K filed with the SEC on May 1. On May 6 we filed an 8K providing guidance of our expected first quarter revenues of $9.8 million to $10 million with a net loss expectation of $6.1 million to $6.3 million.  We'll file our 10Q later today and will file the contents of this call including the Q&A and 8K filing with the SEC early next week. Net sales in Q1 were $9.9 million which compares to $7.3 million in the prior year on a reported basis.  Total operating costs were $9 million in Q1 compared to $5.9 million in the prior year.  Our operating expenses are broken down into Fulfillment, Selling & Marketing, and G&A.  Prior year results do not include the results of BabyUniverse side of the business which we acquired in October 2007.  For context, BabyUniverse reported a net loss of $1.7 million in the first quarter last year which is not included in our reported results. Fulfillment expenses increased $210,000 or 12% to $2 million in the first quarter from $1.8 million in the prior year.  First quarter fulfillment expenses improved to 20.3% of net sales compared to 24.8% in the prior year. Selling and marketing expenses increased to $2.4 million in Q1 from $1.5 million in the comparable quarter last year due primarily to a million dollars in selling and marketing costs related to the acquired baby business that were not incurred in the reported prior year results.  Sales and marketing expense consist of customer service, credit card fees, royalty expense, net advertising, catalog marketing, promotional expenses incurred by us on behalf of our partners, and payroll related to buying, business management and marketing functions. General and administrative expense increased to $4.6 million in the first quarter from $2.7 million in the comparable quarter last year due primarily to the additional G&A expense associated with the acquired baby business and public company costs such as legal, audit, additional D&O insurance, and Sarbanes-Oxley cost that we did not have in the prior year.  We have approximately $300,000 of onetime costs included in our Q1 G&A line, primarily legal fees. Interest expense was $633,000 in the quarter compared to $1.6 million in the prior year.  The decline was due to a lower average debt level in the first quarter of fiscal 2008 compared to the prior year. Our total debt was $18.5 million at the end of the quarter.  That compares to $64 million a year ago which was converted to common stock at the time of the merger in October. Total D&A, Depreciation & Amortization, was $529,000 in the quarter compared to $309,000 last year.  The $529,000 of D&A includes $104,000 of amortization expense for the intangible assets related to the October merger.  After October of this year all of these intangible assets will have been expensed. Our cap ex was $164,000 in the quarter compared to $368,000 in the prior year.  For the year we expect to keep our cap ex at around $700,000 to $800,000. We also had $247,000 of non cash stock-based comp in the quarter compared to $10,000 in the prior year.  The $247,000 of stock-based comp is comprised of $200,000 restricted stock amortization and the remainder of that is expense incurred for employee stock options.  On a go-forward basis our stock-based comp will track at about this level, $250,000 per quarter.  We have 465,000 shares of employee stock options outstanding and 42,000 warrants outstanding currently.  We have 24.2 million shares of common stock outstanding and no preferred stock so you'll see no preferred dividends this quarter compared to $225,000 in dividends last year. Our balance sheet includes $23.3 million of current assets that includes $18.7 million of net inventory and that compares to $15.4 million in the prior year and $2.3 million of the increase is on the baby side of the business. Our revolving debt was $18.5 million at the end of the quarter and is currently at essentially the same balance and we're in compliance with all of our debt covenants. With that, I'm going to turn it over to Mike.
Michael J. Wagner: I'm Mike Wagner, CEO of The Parent Company.  On the call today we'll discuss the business environment and performance of all of our key business segments.  We'll discuss our baby business acquired from BabyUniverse in our merger and rationalized to profitability over recent months, now positioned for the right kind of growth in 2008, profitable growth.  We'll discuss our acquired luxury business, how it continues to operate with attractive economics, and I'll tell you what we're doing to build our luxury brands through our catalog marketing expertise that has long been a standard of our business, an example of how the merged segments are working together. We'll discuss a toy business that has rebounded nicely from the challenges of the highly-publicized China toy recall and more specifically the reduction in our sales contribution from a key partner.  Also related to our toy category, we'll discuss the steps we have taken to reestablish sales from our partner channel.  The drop in revenue from this channel was a big issue for us in the fourth quarter.  We think we have put in place attractive solutions to replace this hole in our sales as we move into the next year. On the content side of the equation we'll talk about two exciting new elements of our business model first, the expected increase in advertising revenue as we open up our eCommerce sites and our 59 million unique visitors to advertisers; second, and likely much more valuable in the long-run is the expected third quarter launch of Toys.com, a site that we hope will become the Internet's primary search site for families looking for toy-related products and content.  Imagine Google or Shopping.com of the toys base.  That is our goal for Toys.com.  I will elaborate on these highlights in the next several minutes. To give you a quick overview of our company, The Parent Company family of brands includes 70 commerce sites and three econtent and new media sites and our focus is parents and their children.  Our customers meet The Parent Company through our content sites ePregnancy, BabyTV and PoshCravings.  We then introduce them to our baby sites BabyUniverse, PoshTots, and DreamtimeBaby.  As that child grows, our toy brands eToys and My Twinn are a perfect fit.  We are able to offer growing families highly relevant information and products from pre-pregnancy through pre-teen.  Our goal is to build loyalty with that parent audience as they are planning their families and continue that relationship through the child's teenage years. Starting with our baby businesses.  Our baby businesses include BabyUniverse and DreamtimeBaby.  These sites resemble upscale baby boutiques but with a much larger assortment.  We offer a significant number of high-end baby brands you won't find at discounters or larger chains, including strollers that retail between $600 and $900.  Our goal for the baby business is to fine tune the marketing spend and reach 75% of previous sales volume with half of the online marketing costs.  In the first quarter we took important steps to reach this goal.  We started the quarter at 40% of 2007 sales volumes and ended at 63% of 2007 sales volumes while reducing online marketing costs by 59% over the previous year.  We are clearly moving in the right direction with the BabyUniverse brand and achieving this goal will turn the baby sites into a profit center for The Parent Company.  In terms of major initiatives we completed a new graphical look for the BabyUniverse web site in the first quarter.  We have seen increased conversion rates since the new site look launched. Following our site upgrade our average order value on the BabyUniverse site has increased 12% over the first quarter of 2007.  At the time of the site redesign we also tested the first ever BabyUniverse catalog.  It's a beautiful catalog and we've gotten a lot of positive feedback on the design.  Since it was a test we mailed catalogs to samples of different customer segments.  Some segments are performing better than others.  We believe the buying cycle for this catalog is approximately 90 days.  We target women in their third trimester of their pregnancy.  The last catalogs arrived in homes at the beginning of May.  It's too early to analyze the results accurately but we are hopeful that this has been a successful marketing initiative.  If you're interested in seeing the catalog, we encourage you to request one on the BabyUniverse web site. In the next few months we will launch the first products from our expansive new line of proprietary baby items.  The new proprietary products are another important initiative aimed at improving product margins by offering good value for our customers. Moving now into our luxury business; our luxury business includes PoshTots offering beautiful unique furniture and décor for highly affluent families.  This brand caters to some of the country's wealthiest consumers and is a very profitable business for us.  90% of the products are drop-ship items representing Artesian created baby and toddler items from small vendors across the country.  Our PoshTots sales in the first quarter were relatively flat compared to the same time period last year.  We saw an increase in the number of orders with a reduction in the average order size. We began mailing our annual PoshTots catalog during the first quarter offering everything from fantasy fairytale themed beds to life size playhouses and high-end baby gifts.  In the first quarter we have increased the circulation of the PoshTots catalog.  We're working to grow this business more rapidly since it's a high margin and highly profitable brand.  The catalogs will continue to arrive in homes throughout the year and we are continuing to fine tune the list.  We are working constantly to redefine the right customer for this specialized catalog. In early May we completed a graphical redesign of the PoshTots web site with improved navigation, more ways to shop by theme and a new look.  We're very pleased with the new look and we hope you will take the time to visit PoshTots.com web site. Moving now over to our toy business; our toy business is made up of eToys a major online toy retailer with more than 20,000 unique toys, KBToys.com which we operate under a license agreement, and nine strategic retail partners.  We support the toy departments for these other online retailers with merchandising, inventory control, and fulfillment.  For our flagship brand eToys.com we saw a continued progression of month-to-month sales improvements throughout the quarter compared to the same time period last year.  February was our softest month, while April was our strongest.  This trend has continued into May and June and we have seen comp sales increases to date.  The average order value on the eToys site during this first quarter was up 20% over the first quarter of 2007 with improved gross profit margins. We expect to launch a newly redesigned eToys site in the third quarter of this year in advance of the holiday season.  The redesign will completely update the look and feel.  We will highlight key toy brands and categories more prominently, give more presence to our high margin specialty brands, and offer improved navigation and product views.  We will also give more visibility to customer reviews, best ratings by customers, and more wished for items.  We're excited about the plans for the eToys site.  In fiscal 2007 we had to postpone initiatives on the eToys site due to the BabyUniverse merger and the work needed to move the baby sites onto our platform.  We believe this site redesign will improve sales and margins in the important holiday season. We're in the production process of our eToys holiday catalog right now.  We plan to continue this catalog as a proven way to increase customer average order size and loyalty.  However, based on customer response data we will shift some of the marketing dollars previously spent on the catalog to online marketing.  We are reducing our lower performing catalog customer segments and shifting catalog marketing dollars to our online marketing budget in order to react to consumer buying trends more quickly. Talking about our strategic retail partners; as I mentioned earlier, we support the toy departments for a number of major online retailers.  In our terminology these are strategic retail partners.  They include Sears.com, Kmart.com, Buy.com, QVC, HSN, Amazon, Circuit City, and KB Toys.  We operate the KB Toys under a license agreement.  During the first quarter we announced a new relationship with Circuit City.  We plan to have a small toy assortment on Circuit City's web site within a week and we plan to continue expanding that assortment.  On most of our partner web sites the majority of the toy products come from us.  It's a seamless experience for the customer.  When they order a toy from a partner site, they go through the partner's check out process and receive their order from us with the partner's pack slip.  We're the only company that offers an online toy solution for retailers.  We have the product knowledge, inventory, technical resources, and fulfillment infrastructure.  Because of this we are seeing increased interest from well known online retailers that want to form a partnership.  We are in discussions with several online retailers and expect to announce new relationships in the next few months.  We plan to add at least $3 million in sales from new partners in 2008. As we stated in our fourth quarter conference call, we had an $11 million shortfall with one of our major partners in 2007 due to system challenges and major changes in their holiday catalog.  Those systems issues were the start of problems with a new web platform.  We are confident those challenges are behind us since we have been adding new products successfully on a weekly basis.  We are working with that partner closely on our 2008 plan.  They have committed to substantially improving inventory integrity and by placing a stronger emphasis on toys in their 2008 gift catalog. Moving to our My Twinn business; My Twinn our proprietary custom doll business working from photos our artists create a one-of-a-kind doll that resembles your child.  This is a very high quality, fully pose able 23" doll designed to be both a playmate for the child and a keepsake for the parents later on.  The concept also includes matching clothes and accessories for the girl and doll.  Until this year the My Twinn doll was only available through our My Twinn web site, the My Twinn catalog, and through QVC.  We are continuing our relationship with the QVC network with two different custom doll packages in 2008.  Our new doll package is scheduled to debut in July.  We're also working on a number of initiatives and alternative sales channels to expand the My Twinn business.  We are in discussions with major wholesale clubs and brick-and-mortar retailers to selling this product on their sites and in their stores. Our content business; our content sites play a key roll in our overall strategy.  94% of women expecting their first or second child go online and moms represent 43.7% of women on the Internet.  Our content sites include ePregnancy a popular web site targeting parents who are trying to conceive or expecting a child, BabyTV which offers a wealth of information via online video on a variety of baby and parenting topics, and PoshCravings featuring four fictional characters as they navigate life as new moms.  All of our content sites feature highly relevant content, video and advertising.  We also offer robust social network features.  Our executive team is committed to growing our content sites quickly.  As I have mentioned, we made a key hire to manage these businesses during the first quarter.  We have mapped out a strategy for each of our three content sites and analyzed the user experience on each site.  We are working to optimize our usability and highlight new and relevant content on ePregnancy and BabyTV.  We offer a great mix of original and syndicated content and are adding additional content daily.  One of the most popular features on ePregnancy is called "Your Pregnancy Week By Week."  We have reformatted this section to make it easier to navigate and read about the experiences of mom, dad and baby on a weekly basis. Other key initiatives; we are working on a series of major initiatives across our brands to meet our objective of positive EBITDA in 2008.  Some of these include monetizing our eCommerce traffic; increasing our product margin, improving our conversion rates, and reducing our marketing spend in 2008.  With our strong presence in the toy space we continue to be a fourth quarter business.  We are working on many major projects that will pay dividends in the second half of the year. Advertising; a key goal in 2008 is to monetize the traffic on our existing eCommerce sites.  In 2007 we tested some third party advertising at the end of our check-out process on our core eCommerce sites.  Those ads which launched in November generated over $500,000 of revenue in the fourth quarter of last year.  We have 5.9 million active customers across our sites with 59 million unique visitors to our web sites in the last 12 months.  This is a powerful platform and very attractive to advertisers.  Based on our 2007 results we project that our 2008 ad revenue will generate $2 million of which 90% of that will drop to the bottom line.  We will begin third party advertisements on our core eCommerce sites later this summer to be in a position to monetize our holiday traffic.  We will start with footer ads and then move to skyscraper ads which offer a higher [CPM].  This concept is growing in popularity.  Many major online retailers including Amazon and Buy.com already feature third party ads.  It's a natural fit for us.  As we pitch ad spots on our content sites we are also getting requests from advertisers to advertise on our eCommerce sites.  This additional revenue will lower our breakeven sales for our eCommerce sites and help us to meet our EBITDA goals.  Additionally it will give us the flexibility to be sharper on pricing for those key drivers in our business this holiday season.  That's even more important in the current economy.  We believe this is an important path to shareholder value in addition to revenue generated by our eCommerce sites. Another initiative is pricing; having more flexibility in our pricing is part of the larger pricing optimization initiative.  We are developing a tool to better monitor pricing issues based on item level conversion and overall basket size.  With tens of thousands of SKUs we want to make sure we're priced right; not too low and not too high.  This is especially important to us in the fourth quarter when sales lots will pick up significantly.  We know consumers are especially price conscious right now and even more likely to comparison shop.  We want to make sure our pricing is consistent and competitive.  We expect to see an increase in our sales volume with competitive pricing and we expect to maintain product margins by reducing markdown. Another initiative is our email marketing.  As I mentioned during the fourth quarter conference call, we implemented a very robust new email platform across all of our brands in 2007.  Historically our email campaigns for the toy sites generate approximately 12% of our overall revenue.  The new tool will help us increase click through and conversion as we are able to go deeper into our customer segments and feature highly relevant products and offers.  Since we are capable of more redefined email marketing with this new tool, we're targeting to increase our email revenue to 16% of overall revenue on the toy side of our business.  This email marketing is our most cost effective marketing tool. Testing; we have gotten much more aggressive on both [AD] testing and search engine optimization.  Our additional testing is to ensure that we are obtaining optimum conversion on key areas of the site and to catch any problems that are impacting conversion more quickly.  Since we have put a stronger emphasis on search engine optimization we are seeing notable changes in the natural rankings of key brands and categories.  At any point in time we are typically running an AD test, you as a consumer might never realize it because you'll be served one site versus another with a variation that we can measure specifically and decide what is the best avenue to go. Our final initiative is the Toys.com.  We plan to launch a new web site on the Toys.com URL this year.  Toys.com will be a product search site with product reviews and information.  Customers will be able to search any toy retail site from Toys.com.  It's a unique idea in terms of our marketing spend as we will drive traffic to our own sites and if the customer chooses to visit other sites we will earn affiliate revenue.  The customer will also be able to create a centralized wish list on this site encompassing products from multiple online retailers. Some final notes; I am very confident about the initiatives we have in place to meet our positive EBITDA goals this year.  Our well known brands are household names across the country.  They have very strong brand equity and show great promise as we continue to grow each brand.  In addition to our eCommerce and eContent brands we own promising URLs for future content sites including Toys.com, Birthdays.com and Hobbies.com.  Our toy business will be in a strong position for the important fourth quarter.  Many of the key initiatives we are working on throughout the year will play an important role in the success of our fourth quarter sales.  We are keeping a very close eye on costs and are constantly looking for areas of cost reduction, both large and small, as we work towards our EBITDA goals.  We are continuing to reduce our online marketing spend for the baby business to reach our goal of 75% of previous sales with half of the previous online marketing spend.  Achieving this goal will make those businesses very profitable.  Also we are experiencing better traction in our content business and we [inaudible] hires to grow content quickly.  And finally, we have a solid advertising plan for our eCommerce sites to help monetize our valuable audience. Thank you for joining the call today.  I appreciate your time.  Barry and I look forward to answering your questions now.  I will turn it over to the moderator.
Operator: (Operator Instructions)  We'll take our first question from Shawn Milne - Oppenheimer & Co.
Shawn Milne: Barry, Mike, I've got a few so I'll just list them and see if we can get them all taken care of.  Just on the current quarter, the quarter that you just reported, do you have the comp store growth in eToys.com and give us a sense for how you think about that in the next couple of quarters.  Secondly, if you look at the second half of the year, one thing that we're starting to hear a lot about in the eCommerce base is fuel surcharges which tend to work on a lagging basis.  Can you give us a sense for your thoughts there?  Are you trying to negotiate better deals with the carriers?  Do you think you need to change your shipping policies?  Anything on that front would be helpful.  And then lastly, on Toys.com the comparison shopping site, how do you plan on promoting that site?  More through natural search, I mean, obviously the URL would lend itself to that to some extent, or are you going to try to drive it through paid search?  And where are you in getting other toy companies listings up?  I know it's early but you'd obviously want to have that well in advance of the fourth quarter.
Michael J. Wagner: Okay, the first part of your question was comp store.  First of all, we don’t' report segments but I will say as we mentioned in here that the PoshTots business was relatively flat for the quarter.  Our eToys business started out slightly negative but ended with positive comps, single digits, and has continued into May and June to be that single digit positive comp.  Our partners are pretty mixed.  We have some partners that are up nicely and we have some partners that are down offsetting the increases there, so overall the partner business was probably a little softer than we would have liked.  We don’t' control the marketing spend there so it's a little bit more of a challenge.  And as I stated in the baby business, we started that off relatively quite a bit lower than planned trying to get to the 75% but ended on a better note that has continued through the period.  So our My Twinn business was relatively flat but with a much better product margin due to less clearance items this year versus last year so sales maintained themselves with a much better product margin. Your second question was fuel surcharges and things.  We are seeing a number of things there.  We do lock in ahead of time and try to negotiate out some of the fuel surcharges.  Our major carrier today is DHL which is going to be stopping their at home service through the post office so we are working with the other carriers to pick up some of that business and we'll probably have that tied up probably by the end of this week.  They don't go away until September but we are going to change the way we charge shipping.  Today if you go to our help section we tell you it's $3.99 per order plus a pound rate.  We are going to go and build our rate tables in the background.  We're not going to charge differently by zones.  In other words, if you're in California you're not going to pay differently than if you're in New York, but we are going to pretty much charge the customer, pass through that cost of freight.  I don't know that that'll be an increase because right now we've got people buying under our current rate schedule.  We might see a benefit to the consumer that's buying smaller packages and an increase in cost for the people that are buying bigger heavier packages so I think it'll be more relative to the way it's being done.  Now a number of retailers today do not show the way they come up with the rate.  They basically say put your zip code in here and we'll tell you what your shipping is and that's what we're tracking to do before September is up. And then the Toys.com; I think the way we're going to drive traffic mainly on Toys.com is going to be initially through paid search as you build the natural search rankings but we plan to do quite a bit of paid search.  As far as signing up affiliates it's very easy to sign up affiliates.  Keep in mind that we're already selling toys on nine different web sites so even Day 1 without reaching out to a non-affiliated web site, we've got quite a bit of mix that can go up there.  But our plan is to get the other players in the toy space on that site and that I think is a good avenue for them.  One of the reasons we're looking at it as an affiliate revenue standpoint is I see a need in the shopping channel where the shopping engines are now, and I'm talking about the comparison shopping sites, are now charging on a cost-per-click as opposed to a performance base.  There are very few toy retailers present on the shopping channels last holiday season because it's very difficult to make a profit there.  Under our model we're planning to do it under affiliate revenue so it's a rev share based on performance.  I think it makes more sense.  I think we will get participation from the major toy retailers besides our own sites.
Operator: Our next call comes from Kristine Koerber - JMP Securities.
Kristine Koerber: Can you just update us on kind of where you stand with the system implementation in the baby business with Omniture?  I know you had some problems during the first quarter with the key word search.  Where do you stand with that?  And then just a little more color on the BabyUniverse or baby business catalog.  It sounds like results are mixed and if you can just give us a little more color on that, that'd be helpful.
Michael J. Wagner: Omniture; we just implemented Omniture last fall and it's really two pieces to Omniture.  You've got your web analytics that basically give you transactional conversion and performance on the front end of the web site.  We've had no problems with that at all.  We also implemented their search optimization key word buying tool that we continue to get better and better at.  I think one of our key mistakes initially was relying too much on that for some of the higher velocity key words so we've kind of taken those off back manually and we're letting what I call that second tier of key words manage itself through the Omniture search tool.  So I'm very confident.  There's still improvement in that area.  As you can see we continue to pay with the BabyUniverse online marketing spend.  Some of that was a little bit of reaction to the first quarter to that Omniture tool but I think we've got that pretty much on a performance base.  Our goal is to run somewhere between 10% to 15% on the BabyUniverse site and add spend to sales that they generate.  And just as of last week we're finally below the 15% range so we're continuing to fine tune that area and I don't think that will be an issue and I think we'll experience some savings in the fourth quarter this year from last year based on having that tool up for a year and optimized the way it should be. Your next question was on the BabyUniverse catalog.  The catalog, you've got to keep in mind, we tested a lot of lists, so what that means is there could e a list with 50,000  plus names on it and we're taking a small sample of that list and sending it out to maybe 5,000, something that's relevant.  From that test we knew that a lot of those lists wouldn't perform and some would.  So the real key as we dissect that is to say, "Okay, here are the ones that worked so now I can send out the other 45,000 names that we never sent to."  And there are going to be a lot of lists that didn't work and we'll stop marketing to those lists.  So when you say a test, we didn't expect it to pay for itself immediately.  We really wanted to be able to take the segment data of the lists that we rented and say, "Here are the ones that worked.  We can go deeper into those lists.  And here are the ones that didn't work and we can eliminate those lists on future mailings."
Kristine Koerber: Okay.  Can you remind me how many catalogs you mailed during the test?
Michael J. Wagner: To the test it was just under 300,000 so not a big circulation.  It went out in a couple of drops.  The last drop was in homes in early May.  So we're still waiting to see the results of that.
Kristine Koerber: Okay.  One other question on inventory, inventory looks like it's in pretty good shape.  Just talk about promotional activity during the quarter.  Did you have to do anything out of the ordinary as far as promotion?
Michael J. Wagner: Yeah.  As I stated earlier the consumer's been a little finicky.  Where we used to run our clearance sales, we used to get what I call a deal customer coming in and buying a lot of that stuff.  That deal customer as I said earlier seems to be a little bit softer; probably more impacted by the economic times, but that's why our margin continues to be improved.  The customer that's coming in is buying the right item for their child, less price sensitive, I don't want to say not price sensitive but less price sensitive, and we are doing different shipping promotions.  Shipping promotions seems to be driving the best results compared to a clearance sale with similar economics.  So we've kind of shifted after the first quarter we were looking at clearance.  The clearance wasn't doing it and a lot of our clearance sometimes is the close out product that we bought to put on clearance throughout different promotional cycles so it's not clearance.  Some of it's planned clearance to drive sales.  So overall our margin rate continues to be better but we're seeing better success with shipping promotions as opposed to price promotions.
Operator: And that does conclude the question and answer session today.  At this time I'd like to turn the call back to our speakers for any additional or closing remarks.
Michael J. Wagner: Yes, just in closing, I would say that I think we've got a lot of opportunities ahead of us, we've got a lot of great brands, and it's really a matter of monetizing them.  I think one of the important things that maybe I didn't emphasize enough is we spent very little resources in our core toy business last year with the BabyUniverse.  Shifting those resources as we have now will put us in a pretty powerful position for this fourth quarter this year and I think that's really important.  I don't know.  In the online space, you're either moving forward or you're falling behind.  So we need to keep moving those sites forward and progressing and I do believe those will pay nice dividends across our businesses this year. And with that, I'd like to thank everybody for joining the call and have a good day.